Operator: Good day, and welcome to the Innovative Solutions & Support First Quarter Fiscal 2024 Financial Results Conference Call. All participants will be in listen only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Dr. Shahram Askarpour, Chief Executive Officer and a member of the Board of Directors. Please go ahead.
Shahram Askarpour: Good morning. This is Shahram Askarpour, Chief Executive Officer of Innovative Solutions & Support. Welcome to our conference call to discuss our performance for the first quarter of fiscal 2024, current business conditions and outlook for the coming year. Joining me is, Rell Winand, our CFO. Before we begin, I'd like Rell to provide a cautionary statement about forward-looking information.
Rell Winand: Thank you, Shahram, and good morning, everyone. I would remind our listeners that certain statements made in matters discussed in the conference call today, including those about new products and operational and financial results for future periods contain forward-looking information. These forward-looking statements are subject to assumptions, risks and uncertainties that could cause actual results to differ materially, either better or worse from those discussed. I specifically call our listeners' attention to our disclaimer regarding forward-looking statements in our Form 10-Q filed yesterday, which disclaimer, along with our public filings represented describe these assumptions, risks and uncertainties. I also remind our listeners that plans and expectations we expressed speak only as of today's date, and listeners should not place undue reliance on any forward-looking statements. Now I'll turn the call back to Shahram.
Shahram Askarpour: Thank you, Rell. I will begin today with remarks on our performance in the first quarter of fiscal 2024, followed by comments on our long-term growth plan and strategy, including the ongoing integration of the products acquired and licensed from Honeywell. I will then turn the call back to Rell, who will take us through the financials. For the quarter, revenues were up 43% with net income increasing 51% from a year ago. This increase has us on pace to meet our goal of increasing revenues by 40% of the organic fiscal 2023 revenues due to the addition of the Honeywell product lines. At this time, we expect full integration of the Honeywell product line to be nearly completed this fiscal year. First quarter results were in line with the expectations expressed previously. That aside, results once again demonstrate the strength of our strategy, addressing the diversified military, commercial air transport and business aviation markets. Although, we have experienced an anticipated slowdown in commercial air transport and cargo markets, we have counted the slowdown by renewed strength in the military markets. With the addition of the Honeywell product lines, an increasing proportion of our revenues are now recurring in nature, including our OEM production contracts with Boeing, Textron and Pilatus. These production contracts provide a growing pace of reliable revenue that generates strong margins and strong cash flow. Margins this quarter were 59.3%, an improvement from the first quarter of fiscal year 2023. Cash flow was strong in the quarter, enabling us to reduce our debt position by nearly $9 million in the quarter. We expect the credit line balance will continue to be reduced throughout the fiscal year, barring another acquisition. We also maintained our commitment to research and development as evidenced by the increase in R&D expense.  This increase includes our efforts to develop new products and to add new capabilities to existing technologies and to integrate the acquired Honeywell product lines. This work is directed at our long-term vision where we believe there is increasing demand for technologies that reduce pilot workload and would ultimately lead to single pilot flights in air transport aircraft. Our funded R&D represents a contract with Pilatus to develop a second-generation UMS, a product we expect to be extended into additional airframes. This is further evidence of our strong value proposition and the confidence we gained with our customers. Part of the increase in selling, general and administration expense in the quarter was the increase in staffing our sales organization.  While we have always enjoyed a good reputation internationally, the Honeywell acquisition provided us an experienced, established global sales footprint, which we believe opens large new markets, not only for the Honeywell products but also for our legacy products. Many of the hundreds of customers that came along with the new products are new to IS&S, representing another new market, we believe, offers great promise. Quickly updating the status of the Honeywell product line, all the test equipment and inventory is arriving, and the Honeywell training associated with the products have been completed. We are now processing maintenance and repair of radios in-house Meanwhile, the transfer of the IRU inventory is progressing with the handoff of these products expected to occur by the end of the current quarter. We expect the top and bottom line benefit of these new products to begin to gradually ramp up. As I mentioned, we have increased our sales and marketing investment to support the sales of these products. As we begin to develop strategies to fully recognize the inherent synergies and potential of these products, we believe that we will realize growth from such synergies and strategies. For these reasons, we will continue to opportunistically evaluate and make plans to execute additional complementary acquisitions should appropriate opportunities arise. Our goal now is to leverage this momentum to sustain this growth over both near and longer term organically and through additional acquisitions. Finally, I want to update you on our ongoing search for a permanent CFO. We have retained an executive search firm, and we have already completed a round of interviews that yielded several highly qualified candidates. Thank you for your time and interest, and we look forward to updating you in the upcoming quarter. I will turn the call over to Rell for a closer look at numbers.
Rell Winand: Thank you, Shahram, and thank you all for joining today. Let me quickly review the highlights of our financial results for the first quarter of fiscal 2024. Revenue in the first quarter was up 43% due to the contribution of customer service sales of the product lines acquired and licensed from Honeywell. First quarter gross margin was 59.3%, up from a year ago but down slightly on a sequential basis in the fourth quarter, primarily due to the impact of increased material costs and overhead absorption and customer service. In the first quarter of fiscal 2024 research and development expense was approximately $900,000 or 9.7% of net sales. Note that research and development expenses have increased in absolute terms, but has decreased as a percentage of net sales. When the current engineering development contract is completed, the engineers working on that development contract will return to research and development efforts. This will result in increased research and development expense in subsequent quarters. First quarter fiscal 2024 selling, general and administrative expenses increased from a year ago, primarily due to an increase in sales and marketing expense, the quarterly amortization of the intangible asset associated with the Honeywell product line license and acquisition and professional and consulting fees. I will note that we sold the King Air airplane in the quarter for $2.3 million and the resulting gain on the sale was used to reduce total selling, general and administrative expenses. The gain was approximately $162,000. Interest income was down in the quarter, consistent with our new P&C bank line of credit account that uses daily cash balance to reduce debt at the end of every day. Interest expense in the quarter was up from zero a year ago, although we do not expect interest expense -- although we do expect interest expense to trend down, not only as interest rates are anticipated to for, but also because we're planning to use the majority of our cash flow to pay down debt. Taxes are being accrued at a rate of 12.8% versus the statutory rate of 21%, reflecting increased state tax expense due to the gain on the sale of the King Air airplane. Net income for the quarter was $1.1 million or $0.06 per share, up from $700,000 or $0.04 per share in the year ago quarter. New orders in the quarter were approximately $10.4 million, so that we ended the quarter with a backlog of approximately $14.6 million. As always, quarterly orders can vary due to a number of factors and are not meant to provide an indicator of future revenues. Virtually all the Honeywell revenues are from intra-quarter book and ship orders that are not included in the backlog. For the first quarter of fiscal 2024, the company generated $4.2 million of cash flow from operations. The company's debt on December 31, 2023, was $10.6 million, down $8.9 million from $19.5 million as of September 30, 2023. As a result of the daily cash balance sweep component of the company's line of credit is required to be classified as a current liability on the balance sheet. During the three months ended December 31, 2023, cash also benefited from the sale of our King Are aircraft for $2.3 million. With that, operator, we're ready for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. At this time, we will pause momentarily to assemble our roster. The first question comes from Theodore O'Neill with Litchfield Hills Research. Please go ahead.
Theodore O'Neill : Thank you very much. I just have two questions. The first one is about on the sales side. The reduced shipments of displays for the retrofit in the commercial market, do you have a view on if and when that would might change? And what would be the driver for it?
Shahram Askarpour: It's -- some of it is seasonal. Some of it is -- we're introducing a new product line in that market, which should begin -- we should begin or finish its certification this quarter, and we should begin to see some revenues from next quarter. But we've anticipated that on the cargo market, as these airplanes get older-and-older, and that eventually will see a slowdown in these upgrades, which -- and because of that, we developed some additional products and put a larger emphasis on our military efforts, which were kind of not -- in some ways, there was another priority before we were focusing on the overall product lines. So we've put an emphasis over the last couple of years on the military side of things, we got -- because the OEM, new OEM contract from Boeing on the T-7 trainer, and we continue to work on a lot of new opportunities that are coming, both OEM as well as the aftermarket and the military side. So we're looking at that over the next few years to essentially be a larger driver than the air transport side. On the air transport side, what we're doing is that we're offering a lot of upgrades, which, as we talked before, leads to more automations within the cockpit and eventually to a single pilot operation for these Part 25 airplanes. The single pilot operation is the longer-term strategy. Meanwhile, we will be seeing some revenue from some of these additional features that we are offering on these cockpits. But the big-ticket items of completely retrofitting a cockpit of a 5767 aircraft that has slowed down. And like I said, we had anticipated.
Theodore O'Neill : Okay. Yes, makes sense. And on the SG&A expense, the amortization of the customer relationships that was in the SG&A in the quarter, is it a significant part of the increase? And does it continue on for many more quarters?
Rell Winand: Yes. It goes, it's a 10-year amortization. It's about $268,000 quarterly. It will continue, obviously. So that's a big driver of the increase. And of course, as Shahram mentioned, we've hired sales additional salespeople. So that's a big piece of it, too.
Theodore O'Neill : Okay. Thanks very much.
Shahram Askarpour: Generally, our auditing fees and legal fees have been higher...
Rell Winand: Quarter-to-quarter, they were they were fine.
Shahram Askarpour: Of the acquisition
Rell Winand: Yes. Boeing staff, yes.
Theodore O'Neill : Okay. Thanks guys.
Rell Winand: Thanks.
Operator: The next question comes from Andrew Rem with Odinson Partners. Please go ahead.
Andrew Rem : Morning, gentlemen. I just had a question to start with. How should we think about gross margins within the customer service segment?
Rell Winand: Growth, in what way? Typically, it's been higher.
Andrew Rem : Right. Fourth quarter rate, 68.5% and in fiscal '23, year-to-date and it had been running 71%. And so I don't know if -- I mean, you mentioned some under-absorption, but you had much higher revenue this quarter than first quarter, second quarter or third quarter of last year?
Rell Winand: Right. So it's -- go ahead. Sorry.
Andrew Rem : No. I'm just trying to understand nuances.
Rell Winand: Yes. Well, you got.
Shahram Askarpour: Andrew, can you repeat that, please? You said we had gross margins of 71%?
Andrew Rem : Well, the year-to-date through the first three quarters of fiscal three was running 70%, 71%. Then fourth quarter was 68.5% and then now you impact 59%. So I'm just trying to understand the nuance what moves the gross margin around and this quarter's revenue in customer service was higher than the revenue run rate in the first three quarters of last year?
Rell Winand: Right. But the customer service revenue is a bigger piece of the whole. So it's going to end up with more overhead absorption into it. As well as we've seen material, as you can understand, has cost of material, the price has increased. So we have to keep increasing our standards. So it's -- and it's mix depends on what you're re-preparing. But yes, it is down from previous. Well, like I said, your -- half of your sales almost is customer service. So that's going to get a bigger piece of everything, if that makes any sense to you.
Andrew Rem : Okay. And then on the cost material side, how long does it take you to kind of get some price recovery there?
Rell Winand: I get somewhat. Can you repeat that? I missed that.
Andrew Rem : On the cost of materials, how long does it take you to get this recovery?
Rell Winand: It doesn't take -- on the customer service side, not too much because a lot of what we do other than warranty is cost up. So as we've been increasing those, it's going to flow through to the -- what we charge the customer.
Andrew Rem : Okay. And then on inventories, obviously, you had a pickup in the fourth quarter due to Honeywell, but you also had another pickup this quarter, about $1.7 million. Can you just help us understand what's going on? And is this related to are you excess inventory as you make these product transitions. Is that what's driving it?
Rell Winand: Yes. You have a couple of things. So the Honeywell inventory coming in, right? So that's going from the prepaid. You can see the movement there into inventory. And we have some last time buys. We have items in flow and we're going to need the inventory and flow meaning production ahead of going to produce ahead a little bit. So all that's going to increase. And obviously, as we add more Honeywell and you're going to see that grow and grow and grow because the prepaid Honeywell inventory was $12 million. As you receive that, it comes out of their and comes into your normal inventory, if that makes sense.
Andrew Rem : Did we expect in the second half of the year kind of inventory kind of normalizes, you get the product transition, you get back behind you, you brought in all the Honeywell inventory, is that reasonable?
Rell Winand: Yes, but it will be a big number because we got.
Shahram Askarpour: It's going to be a big number, but it's going to.
Rell Winand: It should level up.
Shahram Askarpour: It should level up
Andrew Rem : Okay. And then on CapEx.
Rell Winand: Go ahead, you're going to order that kind of thing, right.
Andrew Rem : All right. On CapEx, can you just comment on -- it was pretty high this quarter. How should we think about that for the full year?
Rell Winand: I mean, look, we've -- CapEx, we've increased the building, have done some work in the building, things like that. So that's going to be a part of it.
Andrew Rem : Well, I'm just looking at $182,000 versus $300,000 for the full year fiscal '23.
Rell Winand: Yes. Well, we probably bought some machinery. Now we're working on. Usually.
Shahram Askarpour: Well, love benches.
Rell Winand: Yes. I bought a lot of stuff for the Honeywell. So fitting that out as well as making upgrading a part of the building the plant for that. So all that's adding into a little higher than normal in a period of time.
Shahram Askarpour: Yes, that should all.
Rell Winand: Actual level or so.
Shahram Askarpour: Stabilized.
Rell Winand: Yes. Typically, we don't have. We do 200,000, 300,000 generally a year. It's always not a big number.
Shahram Askarpour: Investment in our IT structure as well -- because as you know, this cybersecurity now is becoming a thing. And -- so we're doing some.
Rell Winand: Upgrading servers.
Shahram Askarpour: A lot of upgrades as well as increasing our cybersecurity practice. And I think long term, it saves us money because that reduces your insurance cost as well.
Andrew Rem : Can you guys comment then on -- like if we just think about CapEx and what the incremental components, so you mentioned IT infrastructure would be incremental for this year and then some incremental CapEx related to everything that you're doing around plenty well. Can you kind of -- so if we -- if you've got a base CapEx spend a couple of hundred thousand and then how much incremental from these IT and Honeywell related?
Rell Winand: Not a lot. $100,000. $150,000 maybe. We're pretty much done that, if you will. I guess, say, some more another is $250,000, maybe on average, I guess.
Shahram Askarpour: Going forward, you're also going to look at air conditioning system, which is 20 years old.
Rell Winand: It's old.
Shahram Askarpour: Different. Potential going to be addressing.
Andrew Rem : All right. Well, I guess that's it for me, but I did want to say that you guys have done a pretty amazing job generated good cash flow here. We've taken 1.5 out of your debt, I had speculated that maybe you guys could exit this fiscal year below 1 time. So I think it looks like you maintain the current trajectory, you guys are going to flow right through that. So kudos to you guys and the team for doing a great job improving the balance sheet so quickly. So anyway, thanks a lot. Appreciated.
Rell Winand: Thank you, Andrew.
Operator: The next question comes from Doug Ruth with Lenox Financial Services. Please go ahead.
Doug Ruth : Hi. I want to start off by congratulating you on a really strong quarter. You've done a wonderful job. I had a question. Is the management team and the Board of Directors, do you folks now have the ability to buy stock?
Rell Winand: Well, when the window is open. The window opens actually on -- for us, it's the third business day after earnings on Monday. So there's -- and it closes a couple of weeks before the end of the quarter. So it's -- so as a Monday, there is an open window, yes.
Doug Ruth : Okay. I think the investment community would really appreciate if the Board and some of the managers could buy some stock, I think it would really make a significant difference. And again, I want to congratulate you on a really strong quarter. Thank you for what you're doing for the shareholders.
Rell Winand: Thank you. Thank you for your support.
Operator: And this concludes the question-and-answer session and the Innovative Solutions & Support Conference. Thank you for attending today's presentation. You may now disconnect.